Operator: Good morning and welcome to Syros Pharmaceuticals Fourth Quarter and Full Year 2021 Financial Results Conference Call. At this time all participants are in listen-only mode. This call is being webcast live on the Investors & Media section of Syros’ website at www.syros.com. Please be advised that today's conference is being recorded. At this time I would like to turn the call over to Courtney Solberg, Manager of Corporate Communications and Investor Relations at Syros.
Courtney Solberg: Thank you. This morning, we issued a press release with our fourth quarter and full year 2021 financial results, along with anticipated future milestones and recent accomplishments. This release is available on the Investors & Media section of Syros' website at www.syros.com. We will begin the call with prepared remarks by Dr. Nancy Simonian; our Chief Executive Officer; Dr. David Roth our Chief Medical Officer, and Jason Haas, our Chief Financial Officer. We will then open the call for questions. Dr. Eric Olson, our Chief Scientific Officer; Kristin Stephens our Chief Development Officer and Conley Chee, our Chief Commercial Officer are also on the call. They will be available for Q&A. Before we begin, I would like to remind everyone that statements we make on this call will include forward-looking statements. Actual events or results could differ materially from those expressed or implied by any forward-looking statements as a result of various risks, uncertainties and other factors, including those set forth in the Risk Factors section of our annual report on Form 10-K that we filed this morning and any other filings that we may make with the SEC in the future. In particular, the extent to which the COVID-19 pandemic continues to impact our operations, and those other third parties on which we rely will depend on future developments, which are highly uncertain and cannot be predicted with confidence. Any forward-looking statements made on this call represent our views as of today, and should not be relied upon as representing our views as of any subsequent date. We specifically disclaim any obligation to update or revise any forward-looking statements. I would now like to turn the call over to Nancy.
Nancy Simonian: Thank you Courtney. Good morning everyone and thank you for joining us today to review our fourth quarter and full year financial results and recent updates. 2021 was a pivotal year for Syros, driven by the expertise, commitment, and capabilities of our team at Syros. Last year, we initiated three clinical trials and one expansion cohort across our targeted hematology and CDK inhibitor portfolios, including the SELECT-MDS-1 Phase 3 trial, our first pivotal study of tamibarotene in RARA-positive patients with higher risk MDS. The SELECT-AML-1 Phase 2 study of tamibarotene and RARA-positive patients with AML. A dose confirmation study of SY-2101 in APL patients, and finally an expansion cohort, of SY-5609 in combination with chemotherapy in pancreatic cancer patients. These initiations highlight our advancement towards becoming a fully integrated biopharmaceutical company with a diversified pipeline with the potential to make a profound difference for patients. Additionally, in September, we reported promising clinical data from our Phase 1 dose escalation trial of 5609, a highly selective and potent oral CDK7 inhibitor. Based on the results, as well as mechanistic rationale and preclinical data, we are now planning to evaluate 5609 in three distinct opportunities; pancreatic cancer, BRAF-mutant colorectal cancer and hematologic malignancies. To support the continued progress as well as advanced Syros to the next phase of our growth we appointed two new key leadership team members. In September, we named Conley Chee as our first Chief Commercial Officer who has been hard at work laying the groundwork to set us up for commercial success. And Jason Haas appointed as our CFO in October has been spearheading our financing efforts. Syros is looking forward to an exciting year in 2022, with three anticipated data readouts across our clinical portfolio. First, we will be sharing PK and safety data from our dose confirmation trial of 2101 in APL midyear. Then in the second half of this year, we plan to report clinical activity data from the safety leading portions of the SELECT-AML-1 phase two trial of tamibarotene and the expansion cohort of 5609 in pancreatic cancer. And these results may unlock important insights into the potential of each of our programs inform our development strategy moving forward. Additionally, we are looking forward to presenting an e-poster at the AACR meeting in April that shows our oral selected CDK12 inhibitor has potent, single agent activity, in vitro and in vivo in multiple cancer models, as well as enhanced anti tumor effect in combination with DNA damaging agents. These data support our decision to nominate our next development candidate from our CDK12 program, which we expect to do in the second half of this year. This program as well as our other preclinical oncology programs CDK11, and WRN reflect the productivity of our gene control discovery engine, a key driver of our long term goal to discover and develop highly potent and selective small molecules that target gene regulatory systems. I would now like to turn the call over to David who will review our on-going clinical programs. David?
David Roth: Thank you, Nancy. Today, I will discuss our clinical stage pipeline and review the upcoming important readouts we’re anticipating this year. We have a lot to look forward to as these milestones will set us up for rich clinical and regulatory catalysts in the next two years. I'm excited to report that our SELECT-MDS-1 pivotal trial for RARA-positive newly diagnosed higher risk MDS patients is progressing well, and we expect to have data either late 2023 or early 2024 with the potential NDA filing in 2024. If the trial is successful, tamibarotene has the potential to offer higher risk MDS patients a well-tolerated and effective treatment option. Aside from hypomethylating agents, there have been no new therapeutics approved for this indication in over a decade. The unmet medical need is high for the approximately 21,000 newly diagnosed higher risk MDS patients in the U.S. and EU estimated annually. We believe Tamibarotene, an oral drug with a novel mechanism of action, promising clinical activity, and a favorable tolerability profile could change the standard-of-care for approximately 30% of these higher risk MDS patients who are RARA-positive. In addition to the progress we are making, we are pleased that in February, we received orphan drug designation from the FDA, representing an important milestone for the development of tamibarotene in MDS and providing certain benefits, including a seven year period of market exclusivity if the drug is approved. As we look ahead to a potential commercial launch, we entered into a master collaboration agreement with QIAGEN in March to develop and commercialize a companion diagnostic test for our proprietary RARA biomarker to identify RARA-positive higher risk MDS patients who may benefit from using Tamibarotene. Under the terms of the agreement, QIAGEN will also be responsible for obtaining and maintaining regulatory approvals for the commercial companion diagnostic test. Since hematology physicians often treat both AML and MDS, they are familiar with using diagnostic testing to determine the optimal targeted treatment for blood cancers. We anticipate that following potential approval, physicians will readily integrate the RARA companion diagnostic tests for routine evaluation of their MDS patients and subsequently turned to our targeted therapy as the standard-of-care for RARA-positive higher risk MDS. Turning to our efforts in AML. Our SELECT-AML-1 Phase 2 study is on-going and evaluating tamibarotene in combination with ven/aza in RARA-positive patients with newly diagnosed unfit AML. We estimate that there are approximately 25,000 newly diagnosed unfit AML patients in the U.S. and EU each year, of which about 30% are RARA-positive, representing one of the largest targeted populations in unfit AML. We believe there's a substantial market opportunity for tamibarotene in AML as our translational and clinical data support the potential for the RARA biomarker to enrich for patients more likely to respond to Tamibarotene, and for whom the standard-of-care may be suboptimal. As Nancy mentioned previously, we're on track to report clinical activity data from the safety leading cohort of the SELECT-AML-1 trial in the second half of this year. As a reminder, this cohort is expected to enroll approximately 15 newly diagnosed RARA-positive unfit AML patients. If successful, we will then advance into a randomized portion of the trial, which will evaluate our triplet regimen of tamibarotene plus ven/aza compared to ven/aza alone, and the primary endpoint will be the composite complete response rate. In addition, we're also developing 2101 as a novel oral form of arsenic trioxide or ATO for acute promyelocytic leukaemia, or APL patients. 2101 has the potential to replace the IV form of ATO, which is standard-of-care for APL. We believe 2101 could significantly improve upon IV ATO by reducing the treatment burden, increasing patient access and limiting health care costs and utilization. The on-going dose confirmation trial is designed to evaluate the pharmacokinetics and food effect of 2101 using Cmax and AUC as well as tolerability with the goal of identifying an optimal dose for the Phase 3 trial. We plan to report data from the dose confirmation trial mid-year. From the feedback we received from the Type C meeting with the FDA in November, we have a clearer development path for 2101 in frontline APL. Importantly, at this meeting, the agency reaffirmed its support for using molecular complete response rate as the primary endpoint for accelerated approval and event free survival rate at two years as the primary endpoint for full approval. In each case, the clinical data generated in patients treated with 2101 will be compared to historic data with IV ATO. We expect to enroll approximately 215 patients in the Phase 3 study randomized two to one to receive 2101 or IV ATO, with the IV ATO arm allowing us to make safety and tolerability comparisons to assist in assessing the overall outcomes of the 2101 arm. We plan to initiate the Phase 3 study in the first quarter of next year, with Pivotal data expected in 2025. Now turning to 5609, our highly selective and potent oral CDK7 inhibitor. In September, we announced promising data from our Phase 1 dose escalation study in patients with select solid tumors. We identified a dose and schedule for 5609 which achieved proof-of-mechanism and was generally well tolerated with predominantly low grade AEs and a low rate of treatment discontinuation due to AEs. Importantly, we saw the highest level of single agent clinical activity in the relapsed refractory pancreatic cancer patients we enrolled. In this highly refractory patient population, we observed stable disease, tumor regressions as well as tumor marker reductions. Based on these data as well as supportive preclinical 5609 in vivo data, we initiated in the fourth quarter our expansion cohort evaluating 5609 in combination with chemotherapy for patients with relapsed refractory pancreatic cancer. We expect the cohort to enroll approximately 50 patients who have progressed following first line treatment with FOLFIRINOX in first or second relapse. Starting with a biologically active dose of 5609 below the MTD of the seven day on seven day off regimen, patients will be treated with 5609 in combination with gemcitabine or 5609 in combination with gemcitabine and nab-Paclitaxel, using the approved doses of the combination agents. We plan to report clinical activity data from the safety leading portion of the trial in the second half of this year. We're also pursuing a second combination strategy with 5609 in BRAF-mutant colorectal cancer. In August 2021 we entered an agreement with Roche to evaluate 5609 in combination with their PDL1 inhibitor, atezolizumab. Roche expects to begin enrolling patients in this arm of their on-going Phase 1/1b INTRINSIC trial in the first half of this year, which will mark the first clinical investigation of a CDK7 inhibitor with an immunotherapy. Since we are supplying 5609 and Roche is sponsoring the trial, Roche will be responsible for communicating subsequent data updates. Finally, and as we announced in January, we plan to pursue 5609 and hematologic malignancies, based on mechanistic rationale and preclinical data, which support the potential of CDK7 inhibition across a range of blood cancers, we plan to initiate a trial of 5609 in relapsed refractory hematologic malignancies to identify a maximum tolerated dose for this population, and assess clinical activity. In preclinical studies, CDK7 inhibitors, including 5609 demonstrated a high level of activity across diverse hematologic cell lines and showed robust single agent in vivo activity. In addition, we've seen synergy with a BTK inhibitor and with venetoclax in vitro. These data give us confidence in our clinical development strategy, and we look forward to initiating a Phase 1 trial in the second half of this year. We are incredibly encouraged by recent progress across our portfolio and are looking forward to reporting data from all three of our clinical programs this year with the potential to provide valuable insights into clinical activity, safety, tolerability and dosing. With that, I'll turn the call over to Jason to review our fourth quarter and full year financial results.
Jason Haas: Thank you, David. Turning now to our fourth quarter and full year 2021 financial results. We ended 2021 with $143.4 million in cash, cash equivalents and marketable securities compared with $174 million at the end of 2020. Based on our current plans, we believe we have sufficient capital to fund our planned operating expenses and capital needs into the first quarter of 2023. We recognized $7.8 million in revenue in the fourth quarter of 2021 from our collaboration with GBT and Incyte. For the full year 2021, we recognized $23.5 million in revenue. For the fourth quarter and full year 2020, we recognize a total of $5.7 million and $15.1 million under our GBT and Incyte collaborations respectively. R&D expenses were $26.8 million in the fourth quarter of 2021, and $100 million for the full year 2021 as compared to $29 million for the fourth quarter of 2020 and $76 million for the full year 2020. The increase for the year ended December 31, 2021 was primarily due to the increase in costs associated with the continued advancement of our clinical and preclinical programs, and employee related expenses. G&A expenses were $6.4 million in the fourth quarter of 2021, and $23 million for the full year 2021. For 2020, our G&A expenses were $5.9 million for the fourth quarter and $21.3 million for the full year. Finally, we reported a net loss for the fourth quarter of $23.8 million, or $0.38 per share compared to a net loss of $30.1 million, or $0.62 per share for the same period in 2020. Our net loss for the full year 2021 was $86.6 million, or $1.38 per share, compared to a net loss of $84 million, or $1.82 per share for the full year 2020. With that, I'll turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Ted Tenthoff with Piper Sandler.
Ted Tenthoff: Great, thank you very much for taking my question and a lot of progress and I don't think is necessarily being worth mentioned. But I know, that's the markets that we're currently in. And a lot of data for this year that hopefully is going to be recognized. My first question really has to do with tamibarotene and SELECT and I just get a sense for sort of what the thresholds are that you might be looking for to determine next steps, and kind of what we should expect from the data without Fisher [ph]. Thank you.
Nancy Simonian: Hey, Ted, great to hear from you. I'm going to turn that over to David.
David Roth: Thanks for the question Ted. So with respect to the AML study, which is the SELECT-AML-1 trial we’re in the process of what we are referring to as a safety lead in and we're looking forward to reporting data, sharing clinical activity, as well as safety of the triplet combination, tamibarotene plus Venetoclax plus azacitidine. And one of the things we'll be looking for, well, obviously, the safety will be an important parameter to assure we can combine all three drugs and use them to move forward. But we'll be looking at the clinical activity. And in particular, we have benchmarks for tamibarotene and aza that came from the same patient population in our Phase 2, where we saw an approximate 61% compositive complete response rate. So we'll certainly be looking for responses that are, north of that, to justify adding Venetoclax into the regimen. That would be a starting place.
Ted Tenthoff: Well, and I guess that's exactly where I want to go. And I guess the question is, are you also sort of looking at how that compares to ven/aza current response rates and sort of seeing where the opportunity is for because there are positive patients don't respond as well you think you have an opportunity that?
David Roth: Yes, I think well, we think we have great opportunity with tamibarotene in this population for multiple reasons. It's an orally administered generally well tolerated drug. The population clearly really needs improvements on available therapy. We know the Venetoclax regimen really has not benefited significantly about a third of patients who don't achieve an initial response and the majority of patients who do ultimately lose their response. So, we are hopeful that our regimen will deliver value to these patients. Now the translational data that we shared at the prior ASH meeting, where we were very excited to show that the majority of the patients who are positive who had entered our study had these features consistent with [Indiscernible] or refractoriness to things that are known to be associated refractoriness to Venetoclax, holds yet additional potential for this, this therapy to address unmet need. And so we're very excited about the program. We see great enthusiasm from the investigators who are participating, and the patients who are signing up. So, look second half of the year is going to be very exciting year. We're going to share upcoming information about that, and you'll get insights into how this is performing.
Ted Tenthoff: That's really helpful. And then just one last question, if I may, on this topic. When it comes to the data that you get, will that help in terms of response? Will that help with any powering or sizing of the Phase 3? Or is the Phase 3 already pretty much largely set? Thank you very much for all the questions.
David Roth: So if you're talking about the Phase 3 in ammo…
Ted Tenthoff: Yes, yes…
David Roth: So we haven't seen….
Ted Tenthoff: …that later this year, will it? Will it help you design or size the Phase 3 SELECT AML? Thank you.
David Roth: So we haven't spoken yet specifically about the next plan beyond this study. This is a randomized Phase 2. And we will be presenting the data that's available to us toward the end of this year. So right now, it's a bit early for me to forecast whether that specific information is going to inform the future Phase 3 design or not, but all told, I think it should be interesting information to learn about.
Ted Tenthoff: Great, thank you guys for the time.
Nancy Simonian: Thank you, Ted.
Operator: Our next question comes from Phil Nadeau with Cowen & Company.
Phil Nadeau: Good morning, thanks for taking our questions as well. One follow up to Ted's on the SELECT AML trial. As you look at the adverse event profile, are there specific adverse events that you're worried to me their team could exacerbate that than ven/aza already have? Are there any toxicities that could potentially be overlapping that you're going to pay particular attention to?
Nancy Simonian: Phil thanks for your question. I'm going to turn it over to David.
David Roth: Yes. So I -- the general safety profile of tamibarotene and aza. We've previously described that, and we have not noted any exaggeration of toxicities that have been seen by azacitidine and very specifically, we have not increased myelosuppression, or the cytopenias that are commonly associated with use of Venetoclax. And so we don't really anticipate that, that there'll be any exaggerated toxicities from the, ven/aza regimen when we add tamibarotene that. Of course, that's part of our clinical experiment. But we really don't, we don't expect that to be the case.
Phil Nadeau: Great, that's helpful. And then second, on 2101. You mentioned that you're going to correct the PK data, including Cmax and AUC as well as food effect. Are there specific characteristics of the pharmacokinetics that you need to see, in order to advance 2101 or is this simply kind of a dose finding study where there's no specific hurdles for any of those parameters. You simply need to know what dose to move forward?
David Roth: Yes, so that's a good question now. Just to provide you with the important context, we already have good insight into the fact that we believe we have [Indiscernible] we acquired this drug and there already was a Phase 1 study that characterized the dose in the exposures. So what we're doing here is we're testing that dose in direct comparison to IV, arsenic trioxide, to confirm in a single contemporaneously generated dataset, that the blood measures are consistent. And that way we will be assured of taking the right dose forward into Phase 3. The most important thing we can do right now, to assure the technical success of the Phase 3 is to go forward with the right dose. Everything else should -- this is the same drug substance, there's already a clinical proof-of-concept with an oral arsenic that had been used in China that shows this methodology will work. And so we have high confidence that this will be a successful program. The last piece of the equation for us is just to have confidence that the right dose is being selected. And so we're, we respect the information we reviewed when we decided to acquire this drug, but we just want to prove this to ourselves, and go forward on solid footing. And the last point I'll make is that this patient population is, is largely cured by the currently available therapy. So really, the burden of proof is on us to make sure we protect their safety and welfare as we go into this into this trial. But I think we're doing all the right things with all of our collective experience to assure this program will succeed. And, and we feel good about our approach.
Phil Nadeau: When you're comparing an oral to an IV, I'd guess the shape of the PK curve must be different. Correct me if I'm wrong. So what is the key parameter to showing equivalence? Is it is an area under the curve, the Cmax matter? Can you give us some sense of, of how you determine compatibility when you're looking at two very different routes of administration?
David Roth: Yes, you're actually correct about that. I mean, clearly an intravenously administered drug, the Cmax occurs immediately at the end of the infusion. And, the area under the curve largely reflects the exposure over time, which is influenced by metabolism and removal from the blood. So the specifics of those parameters may vary with oral which will be absorbed a bit more slowly. And but the exposure overtime is going to be critical. And so we're going to be characterized in both the Cmax and the AUC, and using our best judgment of pick a dose that represents a comparable exposure. And keep in mind these patients are treated over prolonged periods of time. They're given this drug daily and the IV drug daily for nearly 10 months, two months for induction, eight months for consolidation every other month. And so, it sort of makes clinical intuitive sense that the overall exposure over time is going to make a difference.
Phil Nadeau: Great. And then last question from us on 5609. You mentioned hematologic malignancies, has been the target for one of the populations there. In the past you specifically called out mantle cell lymphoma, as perhaps being one hematologic malignancy that's particularly amenable to treatment with 5609. Is that still your thinking? Or now are you are you more focused on just the broader hematologic malignancy group and let you know let the data narrow down exactly which population you investigate?
David Roth: So let me start by saying that mantle cell lymphoma still is a priority in many ways. I'll remind you of the really exciting data we shared at ESMO in pancreatic cancer, which and in advanced solid tumors where we saw the highest response rates in pancreatic cancer. We also saw very high response rates in patients who had RB pathway abnormalities. And we know the mechanism of action of CDK7 inhibitor is very important in places where cell cycle dysregulation occurs. And that plays into the larger and important role that cyclin D has in mantle cell lymphoma. So we see a very strong mechanistic connection to mantle cell. That said, as we evaluated the breadth of data that we've generated across a range of hematologic malignancies, we also see other specific vulnerabilities and sensitivities that suggests a much broader opportunity than just mantle cell. So as we dug in on this initial foray in the heme cancers, a first by the way, first CDK7 inhibitor, we thought that we would be well served to explore a variety of, of tumor types, including mantle cell, and then let the data determine where we go. So what we've done is we really capitalize on all the information we've been generating, and we're taking a nice broad approach to initiate this program.
Phil Nadeau: Perfect. That is very helpful. Thanks for taking my questions.
David Roth: You're welcome.
Operator: Our next question comes from Jason Butler at JMP Securities.
Unidentified Analyst: Hi, it’s Fred [ph] for Jason. Thanks for taking our questions. Just a couple quick ones I guess. Apologies for the crystal ball in here but the pivotal study for 2101 in newly diagnosed ATL yes, we're wondering about the potential for an earlier efficacy read. It seems like the median times that complete response was about a month a month and a half. Just wondering if maybe there might be the potential for earlier look at molecular CR prior to 2025 read out and then had a quick one on CDK12.
Nancy Simonian: Thanks for your question. I'm going to ask David to address the timing in the Phase 3, maybe based on FDA feedback.
David Roth: Yes, so we did meet with the agency in November, they had a very productive meeting. And they had reaffirmed their, their interest in seeing this, compared to historical benchmarks. And keep in mind, we are developing this under the RB pathway, which relies on the pre-existing data set for the IV, arsenic trioxide. So the approval benchmark for molecular CR, it was assessed at the end of the third consolidation cycle. So that would probably be the timing that we would utilize for our molecular CR. And they've also said that the molecular CR could serve as a potential for accelerated approval with the event free survival at two years for full approval. So we think we really got all of the guidance we need with respect to the endpoints when they would be measured, and how they would be assessed versus the benchmarks to determine how to proceed. So we're very excited about having a clear path forward. It really doesn't get any better in drug development when you have crystal clear guidance from the regulatory agencies to help them make a regulatory decision.
Unidentified Analyst: Okay, great. Thank you very much. And just a quick one on CDK12. So the data at ACR is that's going to be using the same clinical candidate that you plan to announce in the second half. And I guess just what remains gating to declare the clinical candidate? Thanks.
Nancy Simonian: Hey, I’m going to have Eric address that question.
Eric Olson: Yes. Thanks for the question. Yes, we're going to be presenting data at AACR on our CK12 program. And we'll be highlighting a molecule and I think it's safe to say that the profile of our development candidate that we name in the second half of the year is likely to be similar to the one that we show at AACR.
Unidentified Analyst: Okay, thank you.
Operator: Our next question comes from Zegbeh Jallah with Roth International.
Zegbeh Jallah: Morning, thanks for taking my question. I think I just wanted to ask a quick one regarding 5069. You're already in pancreatic cancer. So just wondering how quickly can you dose escalate in the team malignancies as since you've already kind of seen some of that data. And then do you expect to perhaps use the same dose in the solid tumor versus that liquid tumors?
Nancy Simonian: He's like – I’ll have David answer that question.
David Roth: Thanks Zegbeh. So we've learned a lot about how to dose 5609 in patients with advanced solid tumor malignancies. And we are going to leverage that knowledge as we move forward in the in the heme cancers. So our plan in the in the heme program will be to move forward with the regimen that we've optimized the safety for, and we'll be initiating just around the MTD, the maximum tolerated dose for that, and then we'll be combining with gemcitabine or gemcitabine plus nab-paclitaxel using the standard-of-care approved levels for those combination partners. So we think that this is going to move quite swiftly. And I think that'll be an efficient design.
Nancy Simonian: Zegbeh, I think indeed, you also want to know about how we were using the dosing for the heme study?
Zegbeh Jallah: Exactly. Thank you.
Nancy Simonian: Yes. The dosing, we're starting in the heme study.
David Roth: Oh, I'm sorry. I must have misheard you forgive me. Yes. So in the heme study, we're going to, we haven't really provided detailed guidance on the specifics of that trial design. But with regards to the heme study, we'll also be starting at around the area of the biologically active dose. So we actually have incorporated a really nice biomarker for the PD effects the POLR2A and we know where we can tickle the pathway with our drug over time. So we're going to be leveraging that knowledge as well. And so we're not starting at the beginning if that's what you're asking. I'm sorry, I didn't quite answer your question correctly the first time around.
Zegbeh Jallah: No worries very helpful. David. And then the last I guess is just trying to figure out whether or not you will also be needing to look at perhaps more doses, for the heme malignancies just to safe curiosity trying to figure out if you are at the right dose. And then the last, the last bit here is about your CDK12 program, wanted to know, if there's anything that you've seen pre-clinically that could suggest that it could be combined with your CDK7, and we're looking forward to the data ACR.
Nancy Simonian: Hey Zegbeh, I'll have David answer the first and Eric the second question.
David Roth: Hi just and so in terms of the heme malignancies with more doses, and we're going to like again, as I was mentioning, we are going to be starting close to the MTD and the solid tumors, clearly out of biologically active dose. We are prepared to modulate that dose to achieve maximum therapeutic effects in these patients while maintaining safety. So there is some exploration that's going to be going on. So we can clearly define the right dose and utilization of the drug in patients with heme malignancies. But we don't expect that to be a pretty complex clinical trial experiment. And then we're obviously setting the stage to move forward in that context, either as a single agent or in combinations, as is so commonly done. So we're collecting our data and analyzing it to set ourselves up appropriately for future success. Then for the CDK12 study, I guess, Eric?
Eric Olson: Yes, thanks for the question there. Certainly, our focus for the CDK12 combinations have really been our thinking around that is really based on the role of CDK12 plays in regulating DNA damage response. So, our CDK7 inhibitor is not directly a DNA damaging agents, so that hasn't been our primary focus. But in cells where there's kind of a susceptibility or dependency on DNA damage repair, that's really where we're thinking about CDK12 combination work, whether that's a genetically defined tumors such as BRAF [ph] tumors in combination with other agents, like DNA damaging agents or other agents that impact other pathways involved in DNA repair like PARP inhibitors. So that's really been our focus in the combination.
Zegbeh Jallah: Thanks, Eric.
Nancy Simonian: Thanks Zegbeh.
Operator: [Operator Instructions] Our next question comes from Matthew Cross with Alliance Global Partners.
Matthew Cross: Hi all, good morning, and thanks for taking a couple of quick confirmatory questions from me. Wanted to start off first, congrats on the arrangement with QIAGEN around the companion diagnostic, was curious because you had called out in terms of that being around MDS in particular, given that you're also looking obviously, at a lot of positive patients in AML. So I was just curious if that partnership can be expanded or something separate there, if that's even necessary, within kind of the development commercialization strategy you're pursuing for the team. And then secondly, was curious, David you give a good or great coverage of kind of the rationale for the confirmatory study in APL, but was curious between the kind of timing of initial confirmatory data and the indication of the Phase 3 in 2023. That couple of quarter’s gap was curious if you need to discuss those results with the agency or as you said, it's really just kind of confirmation for your own sake, making sure you're confident of the dose going into the Phase 3. But do you need to talk with the agency and review that confirmatory data before moving into the Phase 3? Does that explain the couple quarters gap there? Just want to make sure we understand that the kind of limiting steps on those timelines. Thanks.
Nancy Simonian: Thanks, Matt. I'm going to have Kristin Stephens take the first question on the QIAGEN. Kristin?
Kristin Stephens: Yes, thanks for the question. So we have been using a centralized clinical trial assay that was developed for use on our original Phase 2 AML study. And that assay had input from the CDRH division of the FDA, and was operated under IDE requirements. And so this is the same assay that's been used across all of our studies with tamibarotene, and it serves as a foundation for the development of the commercial CDX. So while we haven't provided further detail beyond our agreement with QIAGEN, you can imagine where that will lead.
Matthew Cross: Great, okay. Very helpful, appreciate it.
Nancy Simonian: And then on 2101, David you want to.
David Roth: So I think that, we're -- we've guided to reporting the data on the PK and safety from the on-going trial midyear. And we're going to be initiating the Phase 3 in first quarter 2023. That's our current plan. This, we haven't specifically explained that the details of what is transpiring. But, we're activating global Phase 3. It requires some effort, and I didn't think that there was any, any particular, challenge to getting that done over the period of time between collecting that data and initiating the trial.
Nancy Simonian: Yes, just say that we're obviously moving as swiftly as we can, there's multiple things necessary to initiate the Phase 3, which includes the dose, that these three material, and then all the things that we need to activate a large global study. So I mean, we'll where we think that this is sort of the best timing related to having all those things ready to go. And where the nice thing is really, we can work in advance now to kind of get ready for all those things, because we actually know the feedback that we've gotten from the agency. And we know exactly the trial that we need to do. So that's going to give us a great way to launch this very quickly when we initiate it.
Matthew Cross: Understood. Now didn't mean in any way to imply that that was a long time. I just wanted to confirm that you wouldn't need to run that data, I guess, by the FDA again, and that it sounds like based on anything we just said that they're pretty clear with the plan moving into the pivotal study, and that it's really just more of an internal confirmation of dose.
Nancy Simonian: Yes.
Matthew Cross: Okay. Yes, that covers it. Appreciate it, guys. Thanks for all the answers.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to Nancy Simonian for closing remarks.
Nancy Simonian: Thank you, operator and thank you everyone for joining us today. We appreciate your continued support and look forward to providing further updates on our progress as we continue to advance to becoming a fully integrated biopharmaceutical company. Please reach out to us if you have any additional questions and have a wonderful day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.